Operator: Good morning, ladies and gentlemen, and welcome to SiriusPoint's First Quarter 2025 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. As a reminder, this conference call is being recorded, and a replay is available through 11:59 PM Eastern Time on May 20, 2025. With that, I would like to turn the call over to Liam Blackledge, Investor Relations and Strategy Manager. Please go ahead, sir.
Liam Blackledge: Thank you, operator, and good morning or good afternoon to everyone listening. I welcome you to the SiriusPoint earnings call for the 2025 first quarter results. Last night, we issued our earnings press release, 10-Q, and financial supplement, which are available on our website, www.siriuspt.com. Additionally, a webcast presentation will coincide with today's discussion and is available on our website. Joining me on the call today are Scott Egan, our Chief Executive Officer; and Jim McKinney, our Chief Financial Officer. Before we start, I would like to remind you that today's remarks contain forward-looking statements based on management's current expectations. Actual results may differ. Certain non-GAAP financial measures will also be discussed. Management uses the non-GAAP financial measures in its internal analysis of results and believes that they may be informative to investors in gauging the quality of our financial performance and identifying trends in our results. However, these measures should not be considered as a substitute for or superior to the measures of financial performance prepared in accordance with GAAP. Please refer to Page 2 of our investor presentation for additional information and the company's latest public filings. I will now turn the call over to Scott.
Scott Egan: Thanks, Liam, and good morning, good afternoon, everyone. Thanks for joining our first quarter 2025 results call. I'm pleased to share the results of the first quarter, which show that 2025 is off to a strong start for SiriusPoint. We achieved our 10th straight quarter of underwriting profit in spite of the impact from the unprecedented California wildfires, demonstrating the diverse book we have built can deliver target returns on equity across the cycle. We also saw double-digit percentage growth in both our gross and net written premiums, marking our fourth consecutive quarter. The quarter also saw us complete on our $753 million shareholder repurchase agreement with CM Bermuda and participate in the secondary offering from the Loeb Entities, repurchasing and retiring a further 0.5 million shares. Both were accretive for our shareholders. Our return-on-equity of 12.9% was well within our 12% to 15% across the cycle target, benchmarking well against our ambition to deliver consistent and stable earnings that create long-term shareholder value. Our actions in the quarter follow the strong performance momentum from 2024 as we look to continue our ambition to become a best-in-class specialty underwriter. Focusing now on some of the important aspects of the result for the quarter, starting with our strong underwriting performance. We delivered a combined ratio for our core business of 95.4%. This includes a loss of $59 million relating to the California wildfires net of reinstatement premiums, which came in below our previously disclosed estimate of $60 million to $70 million. This had a 10.9-point impact to our combined ratio. Dissecting our underwriting performance further, our expense ratio improved by 1.2 points. Our acquisition cost ratio improved by 1.4 points, and our attritional loss ratio improved by 0.4 points, driving a year-over-year improvement of 3 points, excluding catastrophes and prior year development. In addition, our result also contains $34 million of favorable prior year development, marking the 16th consecutive quarter of favorable prior year development. Our full year consistent track record serves to underscore a prudent approach to reserving. Turning now to our strong premium growth in the quarter. Gross written premiums grew 12% year-over-year for our core business, where we saw strong performance across various lines of business. We achieved double-digit growth in accident and health, property, and other specialty lines of business, whilst premiums decreased slightly within casualty as we prioritize underwriting discipline in this area. This also marks the fourth consecutive quarter of double-digit growth across the business, not exited in 2023 as part of our turnaround. Growth was even stronger on a net basis, increasing 20%. This is a very deliberate strategy as we seek to retain a greater proportion of books where we have gained further experience and confidence in the profitability and track record. Underwriting margin is our #1 priority, but this quarter again demonstrated that our targeted and disciplined approach is working on both fronts. An important driver of our growth comes from our MGA distribution strategy. The role MGAs play in the insurance ecosystem is becoming increasingly important as market share from this distribution channel continues to increase. We strengthened our offering during the quarter, adding five new or expanded distribution partnerships through our dedicated MGA platform. We continue to see strong premium growth coming from the partnerships we entered in 2023 and 2024, as we work with select long-term partners with strong track records. Our MGA Centre of Excellence continues to be an important growth engine for SiriusPoint, and our reputation within this space continues to improve as we become the preferred partner for delegated business. We currently reject over 80% of the delegated opportunities which are presented to us, as our commitment to underwriting excellence is unwavering. Choosing the right partners to work with is key. In addition, we are investing in our data capabilities in the MGA space during 2025, which we believe will give us a further edge in this growing distribution channel. Turning briefly to our investment results, Jim will cover this in more detail shortly, but our headline net investment income of $71 million for the quarter is tracking in line with our full year guidance, with nothing of significance to note in our investments in the quarter. This quarter also saw us complete on the steps taken in 2024 to simplify our shareholder structure with the closing of the previously announced CM Bermuda transaction in February. Additionally, entities associated with Dan Loeb conducted a secondary offering of roughly 4 million shares. On completion of the offering, their aggregate stake as a percentage of shares outstanding remains broadly unchanged, comparing before and after the CM Bermuda transaction. As part of this offering, we took an opportunity to further deploy capital and repurchased and retired 500,000 of these shares at a price below both market and book value. Our efforts have been noticed by the rating agencies. Earlier this year, Fitch and, very recently, AM Best revised our outlook from stable to positive whilst affirming our ratings. These are important proof points in our journey and are important signals to the market and to our customers of our strong balance sheet and significant improvements. Before I conclude, I just wanted to touch briefly on the global uncertainty caused by the tariff changes and my thoughts on their impact on our company. Uncertainty has increased, and it feels like new details emerge most days. That said, we continue to proactively monitor the impact that tariffs may have as the situation evolves and our cross-function working group continues to remain alter to any developments. There is a heightened focus on monitoring the data we have available in light of the situation, and we stand ready to adjust our pricing, risk appetite, or book positioning accordingly should it be required. Inflation remains our #1 focus, and we will react early and quickly if we have to. That said, we have a diverse portfolio, both in terms of the risk type that products cover and in the geographies in which we underwrite. Whilst potential impacts from tariffs naturally will vary depending on the type and location of the exposure, our level of diversification serves to reduce any volatility or inflation that could emerge in a single line of business. That said, we must not forget that periods of uncertainty can also produce opportunity for us. We exist to help our customers manage risk and navigate uncertainty. We will keep you updated as more clarity emerges and our response becomes clearer as the situation continues to play out. So, to end, our momentum continues from 2024 into 2025. We are completely focused on becoming a high-performing specialty underwriter that delivers stable and consistent returns for our shareholders. The first quarter is another proof point. Resilient underwriting profits, significant top-line premium growth, consistent investment income, book-value growth of 5%, and an annualized return-on-equity of 12.9%. I am pleased to be able to present these results to the market. And as always, I want to go on record to thank our wonderful employees for another strong quarter. They work incredibly hard every day to achieve these outcomes and to take us closer to our aim to be a best-in-class underwriter. As you can see from Slide 9 in our presentation, the catch-up to the market has been notable. Our aim is to outperform, and that is what we are relentlessly focused on. With that, I will pass across to Jim, who will take you through the financials in more detail.
Jim McKinney: Thank you, Scott, and good morning, good afternoon, everyone. Starting with our first quarter results on Slide 13. It was a solid quarter and a good start to the year. We delivered net income of $58 million, a return-on-equity of 12.9% and 12% and 20% year-over-year increases in core gross and net premiums written, respectively. Underwriting income for the quarter was $29 million, inclusive of significant losses from the California wildfires. A higher level of catastrophe losses was partially offset by lower attritional losses and a higher level of net favorable prior year reserve development. Catastrophe losses net of reinstatement premiums were $59 million, all of which relate to the wildfires, compared to no catastrophe losses in the prior year quarter. Excluding catastrophe losses, underwriting income increased by approximately 100% or $43 million, reflecting higher levels of earned premium and an attritional combined ratio that improved 3 points to 90%. This is the 10th consecutive quarter where we have delivered an underwriting profit, demonstrating the diversification of the portfolio built. The underwriting and service capabilities we have built delivered strong year-over-year gross written premium, net written premium, and earned premium growth. Net written premiums increased at a faster pace than gross premiums as we've increased retention of our profitable underwriting portfolio. This strong momentum is expected to continue and result in double-digit net premium growth for fiscal year 2025. Moving to net service fee income, as a result of the deconsolidation of Arcadian in the second quarter of 2024, core MGA revenues and net service fee income reduced slightly year-over-year as our share of Arcadian's profits now flows directly into other revenues on a net basis. Given this, we believe it is helpful to look at our 100% owned A&H consolidated MGA businesses to get a like-for-like comparison. This reveals an 11% increase in year-over-year service revenues with the service margin increasing 1.5 points to 30.3% in the first quarter of 2025, resulting in service fee income increasing 16% to $18 million. Net investment income for the quarter was $71 million. This is down $8 million compared to the prior year, driven by the lower invested asset base following the CM Bermuda buybacks. Unrealized and realized losses, including related-party investment funds, were zero. All in, the total investment result for the quarter, therefore, stood at $71 million. Other items impacting income include $18 million of interest expense. This includes $8 million related to funds withheld on loss portfolio transfers. Additionally, the company generated $2 million of foreign-exchange gains. Last, common shareholders' equity increased by $88 million or 5% in the quarter. In summary, our first quarter results demonstrate our ability to leverage our competitive advantages to grow premiums across our well-diversified book of business while maintaining attractive margins. Turning now to Slide 14, which looks further into the core underwriting performance. Our underwriting first focus led to another quarter of strong underlying margin improvement. The attritional combined ratio chart on the left-hand side of the page strips out the impact from catastrophe losses and prior-year development, as these inherently vary over time. We believe this metric is useful in demonstrating the underlying quality of our underwriting portfolio. Our first quarter combined ratio stands at 90%, representing a 3-point improvement versus the prior year of 93%. This is driven by a 1.2 point improvement in our other underwriting expense ratio to 6%. As we begin to benefit from the growth in our net earned premiums for the full year, we remain comfortable with an expense ratio expectation of 6.5% to 7%. Our continued focus on operating leverage enables us to maintain this level of expense ratio even as we invest to further strengthen our competitive advantages, positioning us for continued success well into the future. Improvement also came from the acquisition cost ratio, by 1.4 points to 24.7%. Last, our attritional loss ratio improved 0.4 points to 59.3%. We expect the attritional loss ratios to continue to remain at these lower levels in 2025. On the right-hand side, we provide the underlying earnings quality bridge to our core combined ratio. With 5.5 points of favorable prior year development in the quarter, partially offsetting 10.9 points of catastrophe losses. As mentioned previously, this relates entirely to the California wildfires. Turning to our Insurance & Services segment results on Slide 15. Gross written premiums increased $111 million or 21% to $635 million, driven by double-digit growth rates within our A&H, property, and other specialty lines, while casualty premiums decreased by less than 1%. This growth included significant contributions from programs launched in 2023 and 2024. We expect to see continued growth throughout 2025. The segment achieved a combined ratio of 94%, representing a 4.4 point improvement from the prior year quarter. The 4.4 point decrease in the loss ratio and 1.3 point decrease in the other underwriting expense ratio was partially offset by a 1.3 point increase in the acquisition cost ratio, largely related to profit commissions associated with the 4.2 point decrease in attritional loss ratio. Our accident and health book of business has provided us with a stable source of underwriting profit through the cycle and is a key offering where we have a best-in-class team that produce consistent results. Premiums in this specialism were up 19% in the first quarter of the year and represent roughly half of the growth versus the prior year quarter. The business mix attributable to Accident & Health is over half of the insurance and services first quarter premium, with first quarter premiums heavily weighted towards A&H. We saw double-digit rate hardening within US medical, while US non-medical pricing was largely flat, where rates are adequate. Cat and non-cat personal accident lines saw single-digit rate softening, as did pockets of the life book, such as in Latin America, with the market moving back to pre-COVID pricing. Elsewhere, pricing in other markets continue to hold firm. Overall, the pricing environment within A&H continues to meet our risk and return profile, and we continue to see growth opportunities within this sector. Turning to casualty, premiums here were broadly flat year-over-year, down less than 8%. The book continues to benefit from positive rate change that exceeds loss costs, particularly in excess casualty. We continue to achieve a double-digit rate in primary excess casualty. Casualty rates remain elevated due to the current loss trends, with the reserve strengthening that has been reported by numerous peers related to the litigation financing and social inflation, continuing to drive rates. We remain hypervigilant of market dynamics, and we'll continue to deploy our capital towards lines where we believe we can generate the most value in line with our underwriting first and low-volatility principles. Other specialties saw strong growth in the quarter on both a gross and net basis, with net written premium growth significantly outpacing gross written premium growth. Growth came from both our North American and international platforms and across multiple specialties as we continue to diversify our premium mix and allocate capital to areas we believe will generate the best returns. Within other specialties, there were a few rate highlights. First, in aviation, we saw the first tangible signs of rate hardening following heightened frequency of losses in this line of business in recent quarters. Airline renewals in March saw rate increases between 5% to 10%. Within energy, rate generally held firm in the quarter or experienced low-single-digit positive rate increases. Upstream energy is highly influenced by nature, with loss-free accounts seeing a rate softening while those with loss experience achieving rate increases. Pricing in renewables and power broadly held firm. Energy liability realized high single-digit rate increases. Turning to marine, rate generally softened. Ports and terminals, marine liability, cargo, and haul saw rate decreases. Within space, we saw double-digit rate increases as a result of the significant losses experienced in the markets in 2023, which led to multiple capacity exits. Property also experienced double-digit premium growth in the first quarter, with an increase in premiums largely coming from the international property platform. We continue to experience rate adequacy across our portfolio, which as a reminder, has a non-catastrophe element as well as the catastrophe element. Catastrophe losses for the segment were $5 million, which equates to 1.4 points of the combined ratio. Moving to our Reinsurance segment results on Slide 16. The segment saw gross premiums written decrease $2 million this quarter to $355 million. Casualty premiums decreased double digits, offset by high single-digit growth in other specialties and property lines as we reallocated capital. Our company structure and underwriting portfolio oversight capabilities enable us to act nimbly and proactively to ensure the business we write is in the best markets and the right lines of business. On a net basis, premiums decreased by 7% as we reduced our net exposure in casualty lines while purchasing additional retrocession protection on the property side, following the California wildfire loss. We will always act in the best interest of our shareholders as we aim to deliver our target return-on-equity across the cycle. Our retrocession retention for any second sizable catastrophe event in 2025 is lower, and we are well-protected. The reinsurance segment achieved a combined ratio of 97.1%, and remained profitable in the quarter despite the California wildfire losses. The loss ratio increased 18.3 points versus the prior year quarter, which was driven by the 21.8 points of catastrophe losses versus zero in the previous year. Excluding catastrophe losses, the reinsurance segment's combined ratio improved by 8.9 points, with 4.3 points of improvement in the acquisition cost ratio and a 1.1 point improvement in other underwriting expense ratio. Overall, the combined ratio represents an increase of 12.9 points when compared to the first quarter of last year with the heightened catastrophe losses partially offset by larger favorable prior year development, of which $11 million of the development relates to the recovery of an ILW contract related to Hurricanes Milton and Helene, following first quarter increases in the industry loss estimate by PCS. Property reinsurance premiums grew 8% this quarter. And following the wildfires, a moderation of the rate decrease seen at 1/1 was anticipated. Loss-impacted programs have maintained strong rates, while non-loss-impacted programs remain rate adequate. We continue to monitor rate adequacy and property reinsurance, particularly following two successive quarters containing notable catastrophe losses. Important to note, we will only grow premiums where we believe the margins are within our risk and profitability profile. Casualty reinsurance continued to benefit from positive rates that exceeded trend. But as we guided in the fourth quarter of 2024, we reduced exposures on structured deals and certain casualty classes at 1/1, such as commercial auto, as underwriting discipline led us to reallocate capital to protect underwriting margins. As a result, casualty premiums decreased 12% versus the prior year quarter as we reallocated capital towards other specialties. Here, premiums increased 7% versus the prior year quarter. Within credit and bond, rates generally held firm across the book, with pricing in international business faring better than in the US, where there is a slight overcapacity on the mortgage book. We continue to see strong underlying performance within credit and bond. Looking at space, as we saw with the primary book, there were double-digit rate increases on the reinsurance side following the reduction in capacity being offered in the market. Slide 17 shows our catastrophe losses versus peers and the reduction in volatility of our portfolio. The chart shows how we reduced our catastrophe losses in 2023 and 2024 as a result of the actions we took on the portfolio in 2022. We have included first quarter performance results for those peers that have reported. It is more useful to view this on an annual basis, given the different exposure locations within peer portfolios. The chart for the first quarter demonstrates our wildfire loss was below many comparable peers and shows the benefits of diversification. Moving to reserving. Our strong history of prudence is shown on Slide 18. Favorable prior year development in the quarter stood at $33 million for the core business versus $7 million in the prior year quarter. It's important to consider our consolidated result here, as this includes the business we have put into runoff. We had favorable prior year development on a consolidated basis of $34 million, marking the 16th consecutive quarter of favorable prior year development. Our track record of favorable releases well exceeds the average duration of our insurance liabilities of three years, highlighting our prudent approach to reserving. Last, we show the strong level of protection we have on each of our three loss portfolio transfers that were completed in 2021, 2023, and 2024. Turning to our strong investment result on Slide 19. Post-redeployment of funds to settle the CM Bermuda transaction, net investment income for the first quarter was $71 million. The portfolio continues to perform well. There were no defaults across our fixed-income portfolio. Our investment strategy continues to focus on high-quality fixed-income securities. 79% of our investment portfolio is fixed-income, of which 97% is investment-grade with an average credit rating of AA minus. During the quarter, we continued to see reinvestment rates in excess of 4.5%. Our overall portfolio duration decreased slightly to three years from 3.1 years at the end of 2024. Assets backing loss reserves remain fully matched and are also at three years. Moving on to our Slide 20, looking at our strong and diversified capital base. Our first quarter estimated BSCR ratio stands at 227%, decreasing by a point versus fourth quarter of 2024. We generated 8 points of BSCR capital in the first quarter that was used to fund the 20% growth in net premiums. In addition, we returned $7 million of capital in the quarter through the buyback of common shares relating to the Loeb Entities' secondary offering and $4 million of dividends paid to the Series B preference shareholders. Our capital position is robust and contains sufficient prudence as shown by the stress-test scenario of a one in 250-year PML event. Moving on to our balance sheet on Slide 21. We continue to have a secure balance sheet with ample capital and liquidity. During the quarter, the debt-to-capital ratio fell slightly to 24.7%, driven by an increase in shareholders' equity from the level of retained earnings, partially offset by weakening of the US dollar, Swedish krona exchange rate, increasing the value of our debt issued in krona. Our debt-to-capital levels remain below our target level, and we continue to project they will decrease further throughout 2025. We continue to have strong liquidity levels with $704 million of HoldCo liquidity available following the final payment of $483 million during the quarter relating to the CM Bermuda repurchase transaction. Recognizing the progress we have made and our strong financial position, we recently saw both AM Best and Fitch revise our outlook to positive from stable and affirmations of our ratings from Moody's and S&P. The recognition of our positive outlook from AM Best and Fitch is a testament to our hard work and dedication of our employees across the business. With Fitch attributing the outlook upgrade to the significant underwriting improvement in 2024 and 2023 and the completion of the CM Bermuda buyback, and AM Best calling out the strength of our balance sheet. We believe our balance sheet continues to be undervalued. There is a significant off-balance sheet value in the consolidated MGAs, which we owe. As we saw when we deconsolidated Arcadian last year and generated almost $100 million of book value, the carrying value on our balance sheet of the three remaining MGAs is $83 million, with net service fee income for the trailing 12 months of $44 million. This equates to an earnings multiple of under two times the earnings versus the double-digit earnings multiple used by the market. With this, we conclude the financial section of our presentation. This quarter saw a strong double-digit growth in our top line following the major completion of our reshaping journey in 2024. We delivered another 3-point margin improvement in our attritional combined ratio as our relentless underwriting first focus continues to deliver improvements in our quality of earnings. Our strong start to the year means we are on track to deliver another year with return-on-equity within our 12% to 15% across the cycle target. We have built a strong track record of delivery, and this quarter's results further validate the significant progress we have made on our journey to becoming a best-in-class specialty underwriter. I would like to thank you again for your time this morning. For any questions, please contact our Investor Relations team at investor.relations@siriuspt.com. I now turn the call back over to the operator.
Operator: Thank you. This does conclude today's teleconference and webcast. You may disconnect your lines at this time. Thank you for your participation, and have a great day.
Q - :